Operator: Good day, and thank you for standing by. Welcome to the Gloo Fiscal Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Oliver Roll, Chief Marketing and Communications Officer. Please go ahead.
Oliver Roll: Thank you, operator. And thank you to all of you for joining our fiscal third quarter 2025 earnings conference call. We will be discussing Gloo's performance for the third quarter ended October 31 2025, as well as providing guidance for the fiscal fourth quarter 2025 and fiscal year 2026. Joining me on today's call are CEO and Co-Founder, Scott Beck, and CFO, Paul Seamon. Our Board Chair and Head of Technology, Pat Gelsinger, will also join the Q&A session. Before we begin, please be reminded that this call will contain forward-looking statements which are based on Gloo's current expectations, but which are subject to risks and uncertainties relating to future events and/or the future financial performance of Gloo. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risks that could cause actual results to differ materially from our forward-looking statements can be found in today's press release and elsewhere in our filings with the Securities and Exchange Commission, including our Prospectus dated November 18, 2025 and our subsequent quarterly report on Form 10-Q that we expect to file later this week. Both will be available on Gloo's investor relations website at investors.gloo.com and the SEC's website. In addition, during today's call, we will discuss certain non-GAAP financial measures. Reconciliations of these non-GAAP metrics to the most directly comparable GAAP metrics, as well as the definitions of each measure, their limitations and our rationale for using them, are included in today's press release and in our Form 10-Q. And now, I will turn the call over to Scott.
Scott Beck: Thanks Oliver, and thank you all for joining us today, for our first earnings call as a public company. Q3 has been a solid start to this next chapter of our journey. Revenue grew 432% year-over-year, and 101% compared to Q2. This reflects strong demand across our platform and meaningful growth through acquisitions that have strengthened our business and expanded our capabilities. We also delivered sequential adjusted EBITDA improvement. And we expect additional EBITDA improvement in Q4, and we expect the pace of that improvement to accelerate, beginning in Q1 2026. We are executing on our growth plan, and expect revenue in excess of $180 million in fiscal year 2026. Moreover, we are committed to achieving positive adjusted EBITDA by the end of Q4 2026. Because this is our first earnings call as a public company, I'd like to take a few minutes to provide an overview of Gloo, our mission, the value we deliver, and our strategy for long-term growth. Gloo is building the leading technology platform that connects and serves the faith and flourishing ecosystem. This ecosystem is one of the oldest, largest, and most resilient in the world, yet one that remains highly fragmented and significantly underserved by modern technology. Let me briefly describe the two core parts of this ecosystem. You will hear us refer to them often. First, there are churches and frontline organizations, actually there are more than 315,000 churches in the United States and over 100,000 other nonprofits organizations serving people and communities on critical social issues, such as recovery, anti-human trafficking and many more. Second, there are Network Capability Providers, the organizations that develop the tech, content, solutions and services that equip those churches and the frontline practitioners. Importantly, Gloo serves both sides of this ecosystem. The Gloo platform includes technology infrastructure, advertising tech, marketing services, and consulting solutions. Gloo also has a marketplace for churches and ministries. All of this is offered directly by us, and by our subsidiaries, which we refer to as Gloo Capital Partners. Additionally, values-aligned AI capabilities are embedded across the Gloo offerings, ensuring that AI can be harnessed for good, helping people flourish and communities thrive. Our platform benefits from a powerful Flywheel effect. The platform becomes more valuable to churches and frontline leaders every time a new Network Capability Provider joins. And as more churches and frontline leaders engage on the platform, the distribution opportunity becomes more valuable to Network Capability Providers. This mutually reinforcing model strengthens the Network effects and increases the platform stickiness over time. Becoming a public company helps us accelerate this flywheel, giving us greater ability to invest in both organic growth and strategic acquisitions. As we have announced we recently closed two new acquisitions. The first is Igniter, a 15 year old media innovator that serves over 10,000 churches with content and media subscriptions. The second is XRI Global, a leader in AI, delivering advanced voice and language translation tech. I will also note that since our IPO the pipeline and pace of our M&A opportunities has increased. Through acquisitions, we bring the best-in-class Network Capability Providers into Gloo as capital partners which expands our offerings, deepens the value of our platform, and further reinforces the flywheel as we scale. For example, earlier this year we acquired Masterworks, a leading ad tech, marketing and fundraising company. They help organizations grow their impact, accelerate their mission, and deepen donor relationships. Today we are also super excited to announce our definitive agreement to acquire Westfall Gold, a leader in major donor engagement. This latest planned acquisition is another powerful example of our flywheel in action. Westfall Gold will deepen our role in helping organizations build sustainable, mission-aligned funding models. They provide donor development capabilities for non-profit organizations engaging high capacity and high impact donors. They do this with data driven insights and world class donor experiences. This is particularly significant because donor management is the very heart of the faith and flourishing ecosystem. Together with Masterworks, this extends our core competency in the central economic engine of this ecosystem, increasing donations. Masterworks and Westfall Gold with decades of proven success, also create significant cross sell and up sell opportunities with one another, as well as with our Barna and Gloo 360 offerings. We expect the acquisition to contribute approximately $20 million in revenue in fiscal year 2026 and contribute positive 2026 EBITDA as well. We intend to close this transaction before our fiscal year-end on January 31, 2026. Now I'd like to turn to our AI strategy. Gloo is developing vertical-specific, values-aligned AI. It is designed to serve the unique needs of the faith and flourishing ecosystem. As I mentioned earlier, this quarter we expanded our AI capabilities through the acquisition of XRI Global. XRI has pioneered advanced voice AI and multilingual technologies that engage people across thousands of languages, including low-resource languages that most AI models can't serve. This acquisition significantly strengthens our AI stack. It also increases the revenue opportunity for Gloo AI and Gloo 360, a few of our subscription-based enterprise offerings. As we advance these capabilities, we are also building and equipping a broader community of developers to innovate on top of the Gloo platform. The developer response has been strong. This year Gloo AI Hackathon brought together more than 700 developers to create faith-aligned AI applications leveraging our platform. We continue to take a leadership role in shaping AI for good. This includes developing a comprehensive benchmarking framework, so that developers and organizations can measure how the leading large language models perform in accordance with the seven dimensions of human flourishing. Earlier this week, we introduced the Flourishing AI Christian Benchmark, a new tool that provides insight into how various models support the Christian Worldview. Overall we've seen good customer momentum across both sides of the ecosystem, churches and frontline organizations, and the Network Capability Providers who serve them. So far in 2025 we have secured 20 customers that will contribute over $1 million in annual contract revenue, and we expect this pace to accelerate in 2026. Notable engagements include a multi-faceted, multi-year, enterprise-level engagement with American Bible Society for both Gloo 360 and Masterworks. Gloo 360 will support their technology infrastructure to enhance reliability, scalability, and long-term efficiency. Masterworks will serve as their mass fundraising and marketing agency, supporting their brand vision and revenue growth objectives. We are also very excited to announce a new initiative to develop the world's first biblically aligned AI, with YouVersion as a key partner. Working with YouVersion, who recently reached one billion installs across their Family of Bible Apps, we'll ensure this becomes a trusted tool for users worldwide. This will combine machine learning with centuries of biblical wisdom to help people engage with scripture safely, deeply, and accurately. Other customer wins in Q3 include expanded agreements with Biblica, United Way of Greater Atlanta, and Project Rescue. Looking ahead our long-term ambition is to extend our position as the trusted infrastructure for technology-enabled impact across the faith and flourishing ecosystem. We remain committed to harnessing technology for good, so that we can serve those who serve, and through them, more people can flourish and organizations and communities can thrive. Paul will now take you through Q3 results in more detail, cover our guidance for Q4, and provide preliminary growth and profitability metrics for 2026. Paul, over to you.
Paul Seamon: Thank you Scott. It's good to be with you for our first earnings call as a public company. Building on the strategic context Scott just shared, I'll walk you through our financial performance for the quarter. This was a solid first quarter as a public company and our results reflect good execution across the business and a significant inflection point for revenue growth. As Scott highlighted demand across both sides of the ecosystem combined with the early impact of our acquisitions, contributed to strong top-line growth. Revenue for the quarter was $32.6 million, an increase of 432%, compared to the same period. Last year, and 101% sequential growth compared to Q2. Year-over-year results were driven by solid organic growth across our portfolio, as well as acquisitions of several Capital Partner businesses, most notably Masterworks and Midwestern. Our Platform revenue includes advertising, marketplace and subscription offerings. Platform revenue totaled $19.8 million, an increase of $13.7 million from Q3 of last year, and 127% sequential growth. Much of this growth was driven by advertising revenue from Masterworks as new clients signed in Q2, fully ramped in Q3. This reflects the strong go-to-market execution referenced earlier. During the quarter, we also closed the acquisition of Igniter, which had a small impact on revenue in the quarter. Going forward, Igniter's subscription media products will primarily contribute to Platform revenue and align well with the broader platform strategy Scott described. Our Platform Solutions revenue includes technology, consulting and marketing services, primarily delivered by our Capital Partners, Masterworks, Midwestern and Servant. Platform. Solutions revenue was $12.7 million, up 71% sequentially, supported by strong performance from both Masterworks and Midwestern. Masterworks experienced a shift in timing, with some revenue typically associated with the fourth quarter taking place in the third quarter. Midwestern continues to see strong demand for development services and is expanding its sales capacity to meet that interest. As a reminder, Masterworks provides advertising offerings reported in Platform revenue and marketing and consulting services reported in Platform Solutions revenue. Midwestern provides technology consulting, also reported in Platform Solutions. Cost of revenue was 76%, an improvement from 81% in the prior year period. The improvement was due to increases in Subscription revenue and Platform Solutions revenue which carry higher margins, partially offset by the shift of revenue timing at Masterworks, affecting the quarter's margin mix. We see clear visibility to cost of revenue declining to below 50% over time. Adjusted EBITDA improved sequentially at negative $19.2 million, a [ $500 thousand ] improvement from Q2. This improvement reflects incremental gains across nearly all our Capital Partners. As a reminder, our adjusted EBITDA calculation includes expenses associated with acquisitions that other companies may consider one time in nature. As of October 31st, 2025, we had $15.1 million of cash and cash equivalents. Our November IPO added approximately $72.3 million after underwriting discounts and expenses, significantly strengthening our balance sheet and converting the significant majority of our debt to equity. I'd like to now turn to our Q4 2025 outlook. We expect revenue to be between $28 million and $30 million. This represents a more than tripling revenue growth year-over-year. Our fourth quarter guidance assumes continued strong demand across the platform, partially offset by the shift in Masterworks timing I mentioned earlier, and the normal slower December and January seasonality in this ecosystem. For Q4, adjusted EBITDA loss is expected to be between negative $19.5 million and negative $18.5 million, reflecting continued cost discipline. Westfall, which is expected to close in early 2026, is an adjusted EBITDA positive business and will play a positive role in our path to profitability. As a business in excess of $20 million in revenue, we expect a modest revenue contribution in Q4 with minimal EBITDA effect. As Scott noted, Westfall is a strategic fit for the platform given the critical importance of donor management to the faith and flourishing ecosystem. For Q4, we expect a weighted average share count of approximately 66 million shares normalizing to approximately 81 million shares in Q1 following the IPO, debt conversion, and recent M&A issuance. Importantly, $143.1 million of debt converted into equity, which left us with approximately $36.7 million of debt on the balance sheet. $17.0 million of this is owner financing from several acquisitions, $12.9 million is senior secured notes that did not convert as part of the IPO, and the remainder is from other notes payables. This significant reduction will meaningfully reduce interest expense moving forward. As part of this successful debt conversion related to the IPO, we incurred a number of meaningful non-routine direct and non-cash expenses totalling $11.2 million, that do not continue after the IPO. These charges are adjusted out of our non-GAAP net loss attributable to members of $26.7 million. Additionally, $12.3 million of non-routine, non-cash financing matters are reflected as deductions attributable to members. The combination of these two sets of non-routine costs results in a non-GAAP net loss of $39.0 million available to stockholders. This amount available is used to calculate non-GAAP loss per unit, which is negative $4.71 for Q3. Looking ahead, our financial approach is focused on building a scalable business by expanding our core offerings, integrating strategic acquisitions, and managing costs responsibly. With significant foundational investments already made, we believe we can now leverage our cost base more effectively to grow the top-line and improve profitability. We are experiencing an exciting financial turning point for the company and are issuing early guidance for 2026 to provide investors with a roadmap for our growth. We expect to nearly double revenue in 2026 to over $180 million. We are experiencing strong organic growth across the Gloo platform, including Gloo 360 and other offerings. We are also assuming that $40 million of the $180 million will come from incremental acquisitions. Our acquisition of Westfall contributes approximately $20 million of that $40 million. We have a robust and actionable M&A pipeline and expect M&A to be front half weighted next year. Additionally, we are firmly committed to achieving positive Adjusted EBITDA profitability in Q4 2026 and expect meaningful sequential improvement in Adjusted EBITDA to begin in Q1 2026 as cost savings actions combined with revenue growth will begin to flow through at that point. With that, I will turn the call back to Scott for some closing comments.
Scott Beck: Thank you, Paul. Let me close by saying thank you to our team, our partners, our investors, and all the organizations and the people that we serve. Together, we've spent more than a decade laying the groundwork for Gloo, investing heavily in our technology, our partnerships, and our mission. Q3 marks a key inflection point in our business. We're now continuing this hockey-stick growth phase that we've been building toward, setting us up for a very strong 2026. Our goal is simple, to build a large, profitable, mission-driven company that serves those who serve and the Faith and Flourishing ecosystem so that these organizations can scale and thrive and the people that they serve can flourish, and we're doing this for the decades that are ahead. You have our commitment that we will execute with discipline. We will communicate transparently, and deliver on doing what we say we're going to do. Over to you, operator for Q&A.
Operator: [Operator Instructions] Our first question for the day will be coming from Richard Baldry of ROTH Capital.
Richard Baldry: Congrats on a great quarter. You essentially hit my 6-month out revenue target, so it makes life a little easier. I want to start with the more than 20 customers that should ramp to be over $1 million in annual contract value each. Can you walk through what they're buying? Are they multiproduct, multiservice buys? Or are they large scale within one of the offerings? Sort of where those buckets are coming in because that's obviously a good driver, an important driver of your organic growth.
Scott Beck: Thank you, Rich. This is Scott Beck. It comes from a couple of different areas. Obviously, our Gloo 360 offering is a very significant offering to be able to bring advanced technologies to take over the infrastructure for many of these ministries and organizations that just have a hard time keeping up with that. In many instances, they can be decades behind and our ability to come in and to now be able to provide next-generation AI-powered infrastructures is a very significant driver of this. But in addition to that, we also got a lot of that from the Masterworks side where we've got major agreements and relationships as we're basically helping them develop from a donor standpoint, helping those organizations be able to reach more people, be able to get them powering the different organizations that they serve with greater donor engagement. We talked about earlier, a good example of that being ABS, American Bible Society, which we're working with on both the Gloo 360 side as well as on the Masterwork side. So those things are significant contributions as well. In addition, one other area, Rich, would be what we're doing with Midwestern. Midwestern has been a great partner of ours, being able to bring next-generation technologies, leveraging our platform to be able to build tech for other businesses and other ministries in this ecosystem. So I keep going and the pipeline is really strong as we look at 2026, but we're super excited and to be able to be delivering at scale, important technologies to the space and human flourishing ecosystem with many customers in excess of $1 million for the year.
Richard Baldry: And maybe drilling underneath that a little bit, can you talk about what the factors are that gate how quickly those turn from deals to revenue? Sort of what pace is that are they all sort of similar or some that ramp quickly, some that take a little more time, so we get sort of an idea of our backdrop to how quickly those impact organic growth?
Patrick Gelsinger: Yes. This is Pat, and I'll give a little bit of color on that. And what we've seen is an acceleration of those opportunities this year. And we're definitely seeing some of these deals now that we have solid proof points across different categories. For instance, in the bible translation category, the ADS example that we gave, where we had very [indiscernible] earlier in the year. So that's caused acceleration to other bible translators. We have multiple in the campus state area. So we've seen acceleration in that category. We've now seen the university segment is now turning on and accelerating as well. So as we see the first proof points, we're able then to see acceleration for the subsequent closures. So I would say that everything that we're indicating is that the sales pipeline is robust, growing and closing faster than we would have expected. And the results that we already are seeing this quarter would be indicative of that accelerating pipeline.
Richard Baldry: Got it. And I'll just ask one more, as I don't want to hog the call too much. But with the pace of growth, you're doubling revenue sequentially. Obviously, acquisitions have been important to that. And the pace has been fast enough that I don't think anyone thinks you should have realized all your synergies out of that yet. Can you talk about just how much in synergy realization you should be able to see going forward from what you've put together, sort of how far along you are maybe ones that you've done a year ago versus ones that are just about to close? Just so we get an idea for how big a driver that can be of your move to adjusted EBITDA positive?
Patrick Gelsinger: It is a factor for us next year as we look at our drive to profitability next year and accelerating quarter-by-quarter improvements in EBITDA next year, the synergy realizations across the acquisitions that we've done, but also our current core businesses become an increasing important role in accomplishing that EBITDA. Now that we have a solid platform in place, offerings like 360 in place, we're seeing the acceleration in those benefits. But it is an area of cost discipline that we have to put in place across everything that we're doing. Those efforts are already underway as we would say, and thus we have confidence in the next year because we've already initiated quite a number of those synergy realization and cost improvements. So we think we're quite good for those. They're accelerating. You'll see those showing up somewhat next quarter, but on an accelerated basis in Q1 and beyond.
Scott Beck: I would add that the synergies both on the cost side as well as we were pointing out on the revenue side. Those revenue side synergies are super important. One of the things that we're so excited about, that's going on with Midwestern and what's happened there with MasterWorks, all of those basically create channel and partnership and synergy on the revenue side, which is also super important to accomplishing that Rich.
Operator: And our next question will be coming from the line of Yun Kim of Loop Capital Markets.
Yun Suk Kim: All right. Scott, Pat, Paul, first, super congrats on a strong first quarter out of the gate. Scott, if you can give us some update on what type of investments you are making in regard to your Gloo 360 business in terms of both sales, headcount growth and overall service delivery capability?
Scott Beck: Sure. Thanks for the question. Pat, why don't you give us your perspective on the investment in Gloo 360 and [indiscernible] is that. Yes. And [indiscernible] for it, it really fits into 3 different dimensions. One is sales capacity, as you suggest, and we are ramping up our sales force and that is giving us more capacity to reach more segments, that hiring is underway. We're able to find very good candidates who have proven records in sales, software sales, enterprise software that want to join a faith and values-based organization like Gloo. So we're ramping up the sales capacity. Second, many of the Gloo 360 customers, we are taking on their staff. So immediately, we get the infusion of their talent, which we're rightsizing, upskilling and being able to add to our focus of resources for delivery. And then third is very targeted capabilities in areas like specific staff application, specific areas like security and IT services, but maybe most importantly, augmenting for AI and agentic capability that allow us to bring more margin to those relationships. So across that full set of capabilities, we're adding talent and seeing a very wide market for 360. But I'd also emphasize that it's not just 360 proper, but when we have a beachhead of 360, we're able to deliver AI services. We have the opportunity to become their marketing partner with Masterworks. And in many cases, the teams that we have at service and Midwestern become the project teams but also are being further as a result of those relationships. So we see those 360 or enterprise relationships really being the beachhead for us to be able to service the network providers at scale across the full value proposition of Gloo.
Yun Suk Kim: Okay. Great. And given that the sales cycle related to Gloo 360 is probably fairly long given the size of those deals, should we expect a typical seasonal back-end loaded kind of linearity for next year 2026 in terms of overall booking performance where majority of the bookings could happen more likely in the second half of the year?
Patrick Gelsinger: Actually, the behavior that we're seeing is not the we are seeing the acceleration in the pipeline and the acceleration of deal closure for 360. So while exactly the characteristics that I would have expected is what you described, we're not seeing that. Once you have proof points in the category, we're seeing the category sales occur quickly, and we're seeing the ability then for those accounts to come on board on an accelerated basis. So I think you're going to see nice quarter-by-quarter improvements in our revenue and in our EBIT contribution as a result of those accounts. And I'd also say that just emphasizes the value that Gloo brings to this ecosystem. They have technology gaps. They have deep needs for capabilities and our ability to now have improvement cases like the ABS example that American Bible Society, example that we gave on the call is an evidence that we have capabilities that are desperately needed, desired and accelerating this ecosystem.
Yun Suk Kim: Okay. And then one last question for me. Pat, in regard to the overall AI efforts, obviously, there's a lot of talk about a capacity issue in the market. Are you running into any capacity issue? And if you are, what are the steps you're taking to minimize that impact?
Patrick Gelsinger: Overall, our AI [indiscernible] at scale yet that we're hitting any of those capacity issues. However, we do see one of our opportunities to be the values aligned provider to the ecosystem, build the cost structure and scale, which is the question that you're really asking, and we're making sure that we're building all 3 of those. We're going to build a great platform. We have a leading-edge capability. We have values aligned with capacity and cost to serve this ecosystem, and we're planning carefully to make sure we have enough capacity in '26 and beyond to satisfy the ecosystem requirements. So a very active topic. But so far, we don't see any constraints in our ability to deliver.
Operator: And our next question will be coming from the line of Jason Kreyer of Craig-Hallum.
Jason Kreyer: Wonderful. Great quarter. So I want to go back to the $20 million customers. As you look across the platform today, how many customers that you are currently engaged with have the potential to be $1 million customers?
Patrick Gelsinger: Yes, great question. I mean we've been working, as you know, in this ecosystem for over a decade. And those relationships run substantially deep. When you look at our pipeline, our pipeline includes a lot of those long-term relationships, people that we've been working with as well as a lot of current customers. So I think from our perspective, it's a pretty unbelievably large set of potential customers and current customers that can scale to over $1 million. Now if you remember, we've got 2 sides of this ecosystem that we serve, right? One side are the churches and the frontline organizations. That's not where we're going to see $1 million customers. That's where we're being able to scale. We're adding paying customers over there at scale, super excited and happy with that growth rate. But that's not where your $1 million customers come from. Your million customers come from the Network Capability Providers, right? The folks that are basically out there providing services like Westfall Gold or MasterWorks itself, the organizations that are the not-for-profit on the front line, whether it's the campus ministries, whether it's the child development organization, the different bible translation organization on and on and on. So when you look at that as well as combining that with the customer base that Midwestern has got, the current customer base that 360 is working against, we see a very, very significant customer base opportunity in million plus.
Scott Beck: I would just add 2 other quick points. One is you measure the [indiscernible] available for those network capability providers. They are in the $60 billion range. So this is a very large market with tens of thousands of brands in that segment. So we see that there's just many customers for us to reach for it. I'd also say that the $1 million customers, we see increased penetration inside those customers as well. So even as we are happy with the $20 million or the $20 million over $1 million, we see that there's increased opportunity inside every one of those customers.
Jason Kreyer: I appreciate that. And then can you just maybe kind of compare and contrast the services or the capabilities that you're getting from Masterworks versus what you're bringing in with Westfall. And then maybe like if you look at the last several months since you've had Masterworks, it seems like a very logical cross-sell. And I'm just curious if there's any pushback and if kind of Westfall can help fill in some of those gaps in terms of where there might be pushback.
Patrick Gelsinger: Yes. Thanks for sure. These are incredibly synergistic. As we said, the donor is the heart of this ecosystem, right? The donors whether they're small donors into a church or the bigger donors into the different major ministries that are out there, it's at the heart. And this is a very good set of synergies. You can think about Westfall Gold, which we're delighted to be bringing into the Gloo family today is really the top end of the donor pyramid. They do amazing data-driven, create incredible experiences, the best-in-class to be able to nurture major donors into multi-hundred thousand, multimillion dollar types of commitments. They do this better than anybody in the ecosystem. However, after those events that they do and how do you keep nurturing those organizations between those major events. That's when a Masterworks shows up who's excellent at being able to do that nurture in between the events as well as the nurture for the smaller donors that then can become the larger donors. So both of those are really core to what we're thinking about in terms of going forward. We're delighted with it and they're delighted with one level. I mean the folks at Masterworks are so excited that we've got Westfall Gold and the folks at Westfall Gold likewise are so excited to be able to partner at a deeper level with Masterworks.
Operator: And our next question will be coming from the line of Dan Kurnos of The Benchmark Company.
Daniel Kurnos: Great. Obviously, I will echo congratulations to you guys coming out strong out of the blocks. And Scott and Pat, since this is your guys' first call, and I know you've touched on pieces of this, but can you guys spend a little bit more time just kind of talking through the [ doctrine ] or guidelines that's informing the M&A for you guys, whether it's what you're paying, the price that you're willing to pay, the synergy opportunities that you see? And Pat and Scott, you both mentioned that the opportunity, the pipeline is probably better than you anticipated that it was. Is there anything that would sort of incentivize or make you guys be willing to be more opportunistic if the right particular product sets or capabilities broke your way?
Scott Beck: Sure. Yes. So from our standpoint, it's important to realize that on the M&A front, we start with organizations that are already connected to our platform. We have been working with Masterworks for years. We've been working with Westfall Gold for years as an example. Midwestern, which was a very significant acquisition we have been working. So these are not strangers. Our pipeline is very strong and it's significant as we described. When you look at the prioritization, there's a couple of different categories that they drop into one of these capabilities around being able to serve the churches and those frontline organizations around donor, around marketing, around content that can add into the overall AI engine that we're doing. But we're also looking for things that are accretive. They're accretive from the standpoint of revenue and help us to build our revenue base. They're accretive in terms of EBITDA and EBITDA moving us and accelerating us to EBITDA profitability. And they're accretive from the standpoint of continuing to build the synergies within the Gloo platform, which strengthens the overall moat that we have in positively serving this ecosystem. But we're also looking for technology as an important part of that. Pat why don't you talk about that.
Patrick Gelsinger: XRI acquisition is a great example of that. And acquisitions like that will definitely be part of the thesis going forward, strengthening offers that we already have deepening them in the marketplace. And the customer that we announced American Bible Society does Bible translation. And now we have maybe the leading logistics capabilities in the world with XRI in the AI-driven logistics area. So those are the areas that continue to excite us in strengthening the platform. Clearly, with 360, we're expanding the number of services, the range of services that we're offering. So we want to strengthen our capabilities there. And as Scott said, accretive. We're incredibly focused on getting the profitability as Paul will keep reminding us. And with that, we want to keep a high discipline on both the multiples that we apply and being able to rapidly see accretion in the financials that we result in. So those factors and a great pipeline of opportunities give us a lot of flexibility both exercise [indiscernible] but also opportunity.
Daniel Kurnos: Got it. That's really helpful. And then just to kind of follow up on, I think, Jason's question and maybe your answer, Scott, as we go into '26, and we know that you're adding capabilities all the time here, how should we think about growth from upsell and conversion from the existing customer base versus how much growth might come from new customers? And just to be clear, I don't think it does, but does the '26 guidance include any major wins or major deals like we saw with [indiscernible] in the prior year?
Scott Beck: Couple of questions there. Number one, we're not seeing in our 2026 numbers, any big specific campaigns or it's the run of the middle of what we do. Gloo 360, more of that, MasterWorks, more of that, Midwestern, more of that, our media network, more of that. So there isn't anything in there except grinding it out good, solid organic growth with what we've already got. And then we had a little bit of M&A in that $180 million number. But we already just booked $20 million of that, right? So that number might have been $40 million that we were thinking about moving forward on a go-forward basis. $20 million of that is already in the bank. So we feel really good about that. But no, we don't see any major engager or one-timers that are coming through. Obviously, if something shows up, we would take advantage of it, but that's not what's driving our numbers.
Daniel Kurnos: And the question, Scott, just on new versus existing upsell, cross-sell?
Scott Beck: Yes, sure. A balance between those for sure. We're going to be adding to the current customers that we've got. But when you look at a lot of the things, in particular, Gloo 360, a lot of that is going to be new. If you look at Masterworks, I think a lot of that is going to be able to be able to upsell. A perfect example of that upsell is the Westfall Gold being now be available to a Masterworks customer. So I think we've got a good balance between both of those.
Patrick Gelsinger: Yes. And as I was indicating earlier, for us, additional customers within a category where we have proven success and we're able to move, I'll call it, horizontally within the category as opposed to vertically into a new category, that's a very efficient sale for us. And you get lots of synergies, essentially a Bible translator works with another Bible translator. Today they want us to be working with both of them. So we see a lot of affinity there. So it's deepening in the category as well. It's a very efficient sale for us, and we're seeing that very much in the realization of that growing sales pipeline and the accelerating sales pipeline. And we're just beginning to open up entirely new categories of that like we do with the Christian University segment, which we're starting to see some success. So we do think that we have the opportunity to go deeper with existing accounts bring more of the Gloo offering into those accounts, move within the segments that we're in, but then also begin to open up new categories as well.
Scott Beck: We operate in a very collaborative ecosystem right now. And it's not one that we take lightly. I mean we love the work that these folks are doing. I mean what's better than being able to help more Bible translation is get to more places in the world. What's more being able to help the organizations that are out there on campuses help people that today are so much in need of community. And so not only are they collaborative, but that sets us up to be able to serve them well so that they can help more people and they can help the communities thrive.
Operator: And the next question will be coming from the line of Eric Wold of Texas Capital Securities.
Eric Wold: A couple of questions. One, kind of a follow-up. Talk about the -- Scott, you talked about the pipeline for next year, the pipe of acquisition has obviously gotten stronger since the IPO. And you talked about next year being front half weighted and now you've done basically half of the $40 million already with Westfall. What would you need to see to maybe bring something from a '27 pipeline of acquisitions into '26 or accelerate that? And how much of that decision is really on your side, meaning you don't want to put too much on your plate, you want to wait for something to make sure it's accretive versus one of your partners on the platform, maybe not think it's the right time for them to be acquired and kind of waiting a little bit longer before taking that step?
Scott Beck: Number one, discipline in strategy, right? We're going to be very strategic in terms of the investments and the acquisitions that we make. We're going to be very strategic and be very disciplined. We've been able to bring these partners in, been able to help them scale at this point, and we're going to continue to be hold that in check. And at the same time, we're going to be available to opportunities. The right partners and the right acquisitions come along. As long as they're being super accretive, we feel like we've got the right synergy and we can integrate them in a good way, we'll move on that. But strategic and disciplined. All of this ultimately then helps develop more moat and more synergies amongst themselves. And it also is then driving us towards that intense focus on EBITDA profitability in Q4. We're not going to let things get in the way of that. We're only going to be doing things that are going to be supportive of that. But it's got to fit from a strategic standpoint, and we've got to be disciplined.
Eric Wold: Got it. And then kind of following up on that, as you think about an acquisition taking place and the company moving from an existing partner, NCP on your platform to an acquired company within Gloo Capital Partners. I guess how long has it typically taken? Obviously you've done a number of acquisitions in the past couple of years. How long does it typically take from that target to move from kind of the current revenue run rate to kind of actually seeing some synergies, revenue synergies kind of a boost to organic growth occur, I guess, for example, the $20 million you noted for Westfall in '26. How different is that from their current revenue run rate in terms of kind of expecting kind of meaningful organic growth on top of that to get to that $20 million?
Scott Beck: We have a disciplined process of presenting business case and those business cases with synergies, both on the revenue and on the cost side. We're conservative in terms of how we build our business cases and what kind of revenue acceleration and cost acceleration we expect. We do not want to get ahead of ourselves on that. So we plan on that being very conservative and then we aggressively get after it. So in that $20 million, there isn't a lot of synergy built in. We believe that there is a lot of opportunity for synergy, but we don't build that in. If you look at the organizations that we've gotten involved with, we had on an overall basis, when we look at it cumulatively, we had very nice growth. In order to get to our number this year of $180 million, in addition to the $40 million of acquisitions that we've talked about and you guys have got a lot of them in your numbers, there is a lot of organic growth in that. And that organic growth is coming both from the Gloo platform offering as well as helping to organically grow [indiscernible] positions.
Operator: And the last question for the day will be coming from the line of Ryan Meyers of Lake Street Capital Markets.
Ryan Meyers: Congrats on your first quarter as a public company. First one for me. I don't think you called this out in the prepared remarks, but what was the mix of recurring revenue during the quarter?
Unknown Executive: Ryan, good to talk with you. We don't break that out specifically within it. It really lines up with the revenue categories we break out in the [indiscernible] subscription, marketplace, advertising and platform solutions. But we don't have that detail right now.
Ryan Meyers: Okay. And then just kind of as a follow-up on that, if we think about the 2026 revenue guide, I know you guys don't break it out by segment. But directionally, how should we be thinking about the mix across those 4 areas being subscription, marketplace, advertising and Platform Solutions, just so we can get a good idea of what to expect for '26.
Scott Beck: Yes. I think that what you're going to see is as we're continuing on M&A as well as growing what we've got right now, Gloo 360, which is a big grower of ours is in that subscription area. There's some of the stuff that we brought in, let's say, like with Westfall Gold that's going to be a little bit more on the Platform Solutions side. So I think that you'll be able to see a continued trend in terms of what we've seen. You saw the platform grew faster than Platform Solutions as a percentage in this last quarter. And I think that, that is what we would expect to continue to see as we go through the year where the platform grows faster than the Platform subscription. But a little bit of that is also going to depend on M&A and where we ultimately go with that and how that fits in the mix. Our organic growth from [indiscernible] definitely geared towards platform and Platform and Subscription.
Operator: Thank you. And this does conclude today's conference call. Thank you all for participating. You may now disconnect.